Operator: Thank you for standing by, ladies and gentlemen, and welcome to the Costamare Inc. Conference Call on the First Quarter 2025 Financial Results. We have with us Mr. Gregory Zikos, Chief Financial Officer of the company. [Operator Instructions] I must advise you that this conference is being recorded today, Thursday, May 8, 2025. We would like to remind you that this conference call contains forward-looking statements. Please take a moment to read Slide #2 of the presentation, which contains the forward-looking statements. And I will now pass the floor to your speaker today, Mr. Zikos. Please go ahead, sir.
Gregory Zikos: Thank you, and good morning, ladies and gentlemen. During the first quarter of the year, the company generated net income of about $95 million. As announced on May 7, we have successfully completed the spin-off of Costamare Bulkers, which encompasses the 37 owned dry bulk vessels as well as the CBI operating platform. Costamare Inc. remains the sole shareholder of the 68 containerships as well as the controlling shareholder of Neptune Maritime Leasing. This business separation unlocks hidden value and better positions the two separate listed companies to pursue distinct operating and strategic initiatives in the containership and the dry bulk sector. Regarding the containership market, while geopolitical challenges and economic uncertainties impact global trade, demand for containership vessels has up to now maintained momentum. The commercially idle fleet remains below 1%, indicating a fully employed market. Regarding the proposed USTR fees, fleet redeployment and network reorganizations may initially resulted in efficiencies boosting tonnage demand. Our containership fleet employment stands at 100% and 73% for 2025 and '26, respectively. Total contracted revenues amount to $2.3 billion with a remaining time charter duration of 3.3 years. On the dry bulk sector, both Capesize and Panamax markets experienced a challenging start of the year. The Cape market rebounded strongly in March, supported by improved Australia and Brazil iron ore shipments and tighter vessel availability. The Panamax activity picked up as expected post-Chinese New Year, supported by recovering grain flows. Finally, with regards to Neptune Maritime Leasing, the leasing platform, total investments and commitments are exceeding $530 million with a healthy pipeline. Moving now to the slide presentation. On Slide 3, you can see our first quarter results. Net income for the quarter was $95 million or $0.79 per share. Adjusted net income was $73 million or $0.61 per share. Our liquidity stands at about $1 billion. Slide 4, we have concluded successfully the spin-off of our dry bulk business. Every Costamare Inc. shareholder will be receiving as dividend 1 share of Costamare Bulkers for every 5 shares of Costamare Inc. Turning to the containership side. Our revenues days are fixed, as already mentioned, 100% for '25 and 73% for 2026. While our contracted revenues are $2.3 billion with a TEU-weighted remaining time charter duration of about 3.3 years. Slide 5. Regarding our S&P activity for the spin-off dry business, we have concluded the sale of 1 Panamax ship and agreed to sell 1 Handysize vessel. Vessel proceeds are expected to be used for the acquisition of larger vessels subject to market conditions. Slide 6. Regarding our financing arrangements, we have refinanced other [indiscernible] vessels with no increased leverage, but with a maturity extension. The remaining, company has no major maturities until 2027. On the dry bulk side, we have repaid circa $150 million of bank debt, and we have entered into a new hunting license facility of up to $100 million for financing of future acquisitions. Moving to Slide 7. Regarding the CBI fleet. We have chartered-in 48 period ships with the majority of the fleet being on index-linked agreements. On our leasing platform, we have invested around $123 million. NML is financing 41 assets for a total amount of $530 million. Moving to Slide 8. Charter rates in the containership market remain at firm levels. Possible large-scale fleet redeployments due to the proposed USTR fees may create inefficiencies favorable to the current strong market dynamics. The idle fleet remains at low levels at around 0.5%, indicating a fully employed market. And finally, on Slide 9, you can see the recent dry bulk market trends in the spot and forward markets. Charter rates have recovered from their lows seen in February. The order book is at around 10% of the total fleet. With that, we conclude our presentation, and we can now take questions. Thank you. Operator, we can take questions now.
Operator: [Operator Instructions] Seeing no questions at this time, I would like to pass the call back to Mr. Zikos for closing remarks.
Gregory Zikos: Thank you for dialing in today and for your interest in Costamare. We are looking forward to speaking with you again in the next quarterly results call. Thank you. Operator, I think we have concluded. Thank you.
Operator: That does conclude our conference for today. Thank you all for participating. You may now disconnect your lines.